Operator: Good day, everyone, and welcome to the Q3 2016 Zebra Technologies earnings release conference call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please also note that today’s event is being recorded. At this time, I’ll turn the conference call over to Mike Steele, Vice President of Investor Relations. Sir, please go ahead.
Mike Steele: Good morning. And thank you for joining us. Today, conference call and slide presentation will include prepared remarks from Anders Gustafsson, our Chief Executive Officer, and Michael Smiley, our Chief Financial Officer. Anders will begin by discussing our third quarter highlights and key drivers of the results. Mike will then provide more details on the financials and discuss our outlook for the remainder of the year. Anders will conclude with an update on Zebra’s 2016 strategic priorities and progress on our vision of Enterprise Asset Intelligence. Following the prepared remarks, Joe Heel, our Senior Vice President of Global Sales, will join us as we take your questions. This presentation is being simulcast on our website at investors.zebra.com and will be archived there for at least one year. Before we begin, I need to inform you that certain statements made on this call include forward-looking statements, which are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements reflect the company’s current expectations concerning future events and are subject to a number of factors and uncertainties that could cause actual results to differ materially. A detailed discussion of these factors and uncertainties is contained in the company’s filings with the Securities and Exchange Commission. During this call, we will make reference to non-GAAP financial measures as we describe business performance. You will find reconciliations of our GAAP to non-GAAP results in today’s earnings press release. Also, unless otherwise indicated, all year-over-year and sequential sales movements will be referred to on a constant currency basis. Now, I’ll turn the call over to Anders. 
Anders Gustafsson: Thank you, Mike. Good morning, everyone, and thank you for joining us. We delivered another quarter of solid results. Our teams are executing well during a period of rapid change and transformation at Zebra. Sales were in line with our expectations. We delivered higher gross margins and we managed operating expenses well. We achieved an 18.7% adjusted EBITDA, representing a 140-basis-point improvement over the prior year and adjusted EPS of $1.43, which was above the midpoint of our expectations. Stronger profitability and effective balance sheet management enabled us to pay down $90 million of debt during the quarter and we feel confident about achieving our $300 million debt paydown objective for the year. As we have been discussing this year, our results have been impacted by an uncertain macroeconomic environment combined with slower IT spending, which has affected customer purchasing behaviors. However, we are encouraged by the sequential improvement in the overall business, and particularly the strong reception to our new products and solutions. Zebra’s unmatched positioning with customers and partners has enabled us to further extend our market leadership this year. Although we have seen pockets of increased promotional activity in the market, we have remained disciplined, yet flexible, in our approach. We are very comfortable with our channel inventory levels, which are within our normal historical bands. I’d like to touch on some of the bright spots of the quarter. We saw increased momentum in our transportation and logistics vertical, fueled by our new and innovative solutions and e-commerce expansion. Our services business has returned to growth after several years of contraction and we are continuing to see improving margins. We have experienced strong traction with PartnerConnect, our new channel program. Our partners are seeing the benefits of this program, which focuses on simplicity, cross-selling and partner profitability. We have added more than 2,000 partners since its launch and increased revenue through registered partners. Turning to our regions, North America performed in line with our expectations, with sales declining year-over-year, but increasing sequentially. During the quarter, we saw strength in retail on the back of e-commerce growth. Channel revenues for Android are gaining momentum as we had anticipated. We completed the third quarter with a solid backlog and expect further improvements through the end of this year. In the EMEA region, we reported higher sales than we did in the prior-year quarter. Pockets of softness in Southern Europe and the Middle East were offset by strength in Northern Europe. Asia-Pacific third quarter sales were down slightly compared to the prior year due to one-time concessions made to accommodate our distribution partners due to the impact of new duties imposed on printers imported into China. Mike will provide more detail about this shortly. In Latin America, revenue declines have moderated as our team has executed well in a challenging environment. We showed growth in printers, driven by targeted programs we implemented earlier this year. I'm pleased to report that, on October 28, we completed the sale of our wireless LAN business to Extreme Networks. Although it was a small part of our business, the divestiture allows for increased focus on our core business and enhances our growth profile. In fact, the wireless LAN business had a nearly 2% negative impact to total Zebra year-over-year sales growth for 2015 and a nearly 1% negative impact to 2016 sales growth for the first nine months of this year. Overall, we executed well during the quarter. While the operating environment remains challenging, our business trends have stabilized and Zebra is positioned well to further extend its leadership within Enterprise Asset Intelligence. This morning, we also announced the appointment of Olivier Leonetti, Chief Financial Officer. Olivier brings more than 25 years of experience in financial and executive leadership roles. Most recently, he served as Chief Financial Officer at Western Digital where he was responsible for all finance functions and played a critical role in the successful completion and integration of Western Digital's $16 billion acquisition of SanDisk. We are excited to welcome him to the team. At the same time, we want to thank Mike Smiley for his many contributions over the last eight years. During Mike’s tenure, Zebra has grown profitably and extended our industry leadership. He has also been instrumental in our efforts to improve cash flow and strengthen the balance sheet. I hope you will join me in wishing Mike well in all of his future endeavors. With that, let me turn the call over to Mike to review our financial results in greater detail and discuss our fourth quarter outlook.
Michael Smiley : Thanks, Anders, for the kind words. It’s been an honor to serve as CFO at Zebra and I'm confident the company is well positioned for long-term success with Olivier as CFO. We have a strong finance team and look forward to working with him to help ensure an orderly transition. With that, as you saw in our announcement yesterday, we completed our financial restatement for the fourth quarter and full year 2015 and the first and second quarters of 2016, which corrected the cumulative impact of fiscal 2015 errors, primarily associated with the Enterprise acquisition. We previously disclosed approximately $11 million of these errors on our first and second quarter filings, which had increased 2016 expenses. As a result of the restatements, for 2015, when combined with corrections to income tax expense, the 2015 after-tax loss increased by $21 million. For the first six months of 2016, the after-tax loss decreased by $7 million. Note that the tax rate for non-GAAP purposes for the first six months of 2016 has been recast to align with our most recent full year 2016 estimated non-GAAP tax rate of approximately 26%. We have presented the non-GAAP impacts on the schedule posted to our investor relations website. Now, turning to our results, as you can see slide five, adjusted net sales for the third quarter were $906 million, approximately flat year-over-year price. Enterprise segment sales grew 1% to $605 million. Sales increased in data capture and services, while mobile computing sales were flat and wireless LAN sales were lower than last year. Pre-transaction Zebra sales were $301 million, down approximately 3%. Sales were lower in our locations solutions business and we provided a $7 million price concession to accommodate our distribution partners to minimize the impact of duties imposed this year on printers imported into China. The ongoing impact is expected to be up to $2 million on a quarterly basis. As Anders discussed, sales in North America declined approximately 2%. EMEA increased approximately 4% from a year ago, led by strength in mobile computing. Sales for Asia-Pacific declined 1%. As mentioned, the price concessions to distributors for printers negatively impacted growth by 6 percentage points. Approximately $5 million of the concession is one time in nature. As a result, we believe the region will grow in Q4 as the go-forward impact of any concession should be modest. A bright spot in this region was continued strong double-digit growth in Japan. In Latin America, sales declined about 3%, which is the largest decline in Brazil as a result of a continued difficult macroeconomic environment. Mexico has been doing well, delivering double-digit growth. Printer sales increased in Latin America due to improvements in our go-to-market strategy. Our adjusted gross margin of 45.9% was 50 basis points higher than the prior-year period, despite the negative impact of previously mentioned price concessions. We benefited from execution on our cost reduction programs and continued improvement in service margins. We're pleased with our operating expense management in Q3. The third quarter operating expenses include a $62 million non-cash write-down of goodwill and intangible assets triggered by the sale of our wireless LAN business. Excluding this one-time expense, operating expenses decreased $13 million as compared to the year-ago period. Specifically, sales and marketing and research and development expenses declined by a total of $12 million compared to the prior-year. General and administrative expenses were $7 million higher, primarily due to increased professional fees, IT and legal expenses. Professional fees have been elevated as we work on improving our tax and accounting processes and controls. Acquisition and integration costs related to the 2014 enterprise acquisition have been decline sequentially this year after peaking in Q4 2015. We expensed $28 million in Q3. We continue to expect a decline in spending through the completion of the integration process. We continue to make good progress with the integration and transformation of our business, which we plan to have completed midyear 2017. In the quarter, non-GAAP EPS increased to $1.43 compared to $1.39 in the third quarter of last year. The tax rate was higher than we forecasted, primarily impacted by changes related to profitability mix by legal entity as we integrate and restructure the business. Third quarter 2016 adjusted EBITDA margin was 18.7%, an increase of 140 basis points from 17.3% in the prior-year period, primarily due to higher gross margins and operating expense management. As a side note, Q3 EBITDA margins would've been approximately 3 percentage points higher using exchange rates as of the close of the Enterprise acquisition in October 2014. Turning now to the balance sheet and cash flow highlights on slide six. We ended the quarter with $163 million in cash, which includes $104 million held outside the US. At the end of Q3, we had approximately $2.8 billion of long-term debt in the balance sheet. Back in June, we successfully re-priced our $1.8 billion term loan, which is our largest tranche of debt, reducing the rate by 75 basis points. As a reminder, all of our debt is a result of financing the October 2014 Enterprise acquisition and we’ve been paying it down aggressively. Year-to-date Q3, we have made $235 million in total principal payments and our net debt to adjusted EBITDA ratio has decreased to approximately 4.4 times, which is down from 5.1 times as of the close of the transaction. Zebra has a strong liquidity profile. There are no near-term debt maturities and we have zero borrowings on our $250 million revolving credit facility. We drove significant improvement in cash flow. During the first nine months of 2016, we generated $245 million of cash flow from operations, more than double the $116 million in the first nine months of 2015. Additionally, our initiatives to repatriate foreign cash balances in a tax efficient manner have helped with our debt paydown objectives. Total capital expenditures were $49 million in the first nine months of 2016, a significant reduction from $87 million in the prior-year period. With respect to foreign exchange, approximately one quarter of our total company sales are denominated in euros and the vast majority of our costs are in US dollars, which exposes us to currency transaction risk from both a sales and earnings perspective. At the beginning of the year, we hedged approximately 80% of Zebra’s net euro cash flow exposure for the entire year, effectively locking in a €1.09 rate in order to minimize volatility in our financial results. Earlier this year, we implemented a rolling four-quarter hedging program, hedging into 2017. The British pound has sharply devalued since the Brexit vote in late June, but has not materially impacted our profitability due to a natural hedge of local expenses in that country. Our UK business represents only a mid-single-digit percentage of Zebra’s overall sales and performed well in Q3. Slide seven shows our path to financial deleveraging. Our top priority for cash flow and excess cash balance is to paydown the acquisition debt to achieve an improved capital structure and drive increased shareholder value. Excluding the impact of the October sale of our wireless LAN business, we expect to paydown $200 million of debt in 2016 and $650 million of debt over the 2016 and 2017 two-year period. We have an ultimate objective of a net leverage target between two and three times net debt to adjusted EBITDA. We continue to make steady progress towards this target, with our EBITDA growth and commitment to pay down debt. With respect to the wireless LAN transaction, we expect to net more than half of the $55 million gross sales proceeds after working capital price adjustments, severance fees, and taxes from the sale. We’re on track with the trajectory of the business we've been expecting since we last spoke on the second quarter results. On slide eight, you'll see, for the fourth quarter, we expect adjusted net sales to be down between 1% and 4% on a nominal basis from the net sales of $954 million in the fourth quarter of 2015. This expectation reflects a range of flat to down 3% on a constant currency basis. This outlook includes a negative impact of approximately 3 percentage points from the October divestiture of our wireless LAN business. We believe we can achieve sales growth on an organic basis. Fourth quarter 2016 adjusted EBITDA margin is expected to be in the range of 19% to 20%. Non-GAAP EPS is expected to be in the range of $1.65 to $1.85. Our outlook also reflects a higher gross margin compared to the prior-year period and in line with the third quarter. We also expect lower operating expenses due to strong expense management and the divestiture of the wireless LAN business. From a full-year perspective, our expectations for the business are largely unchanged. Sales are tracking close to what we had been expecting. Full-year adjusted EBITDA margins are expected to exceed 17%, up from 16.6% last year despite lower sales and an expected 40 basis point negative impact to EBITDA margin based on the year-on-year foreign currency changes. Interest expense and stock-based compensation expense remain in line with our prior outlook. We now expect capital expenditures be between $65 million and $70 million, which is tracking lower than we had expected. Depreciation and amortization expense is expected to be between $305 million and $310 million, which is slightly lower than our prior forecast due to the write-down of intangible assets associated with the sale of the wireless LAN business. We now expect the full-year adjusted effective tax rate of approximately 26%, which is higher than we previously forecast due to estimate changes related to profitability mix by tax jurisdiction as we integrate and restructure the business. Cash taxes are expected to be $70 million to $75 million this year, of which we have paid $70 million through Q3. With that, I now turn the call back to Anders.
Anders Gustafsson: Thank you, Mike. We have made tremendous progress with integration to date and we have implemented several new programs focused on enhancing the combined business. As a result, I feel confident about the opportunities that lie ahead of us. As shown on slide nine, we continue to execute on our four strategic priorities to drive near and long-term growth and profitability. First, we remain focused on delivering profitable growth and extending our leadership as we capitalize on secular trends, drive sales and prudently manage our cost structure. In the last several months, we announced new offerings that better position Zebra as the leader in Enterprise Asset Intelligence. For example, we recently launched the TC51, our next generation handheld mobile computing device. As a mid-tier offering with an attractive price point, the all-new TC51 is proving to be another example of our leadership in the Android – in the transition to the TC51 operating system in our core use cases and verticals. It has a great form factor, including a large touchscreen, greater durability, better battery life, built-in enterprise grade scanning, and overall improved functionality. Zebra continues to enable Android for the enterprise environment with our software suite that simplifies device provisioning, lifecycle management, security, and operational visibility through our cloud-based platform. We are highly encouraged by the early interest we've received so far. Many customers are considering our enterprise-grade TC51 device to displace existing consumer mobile devices, which lack many of the key operational capabilities we offer. We also saw a return to growth in our services business with sales growth from increased service plan attach rates as well as gross margin expansion, stemming from our operational improvement strategies. Our services business had been underperforming since prior to the Enterprise acquisition two years ago. And new leadership in that business is driving strong execution and helping to improve our operational and financial performance. Second, we are prudently managing our overall cost structure through investment prioritization and maintaining tight controls on spending. Excluding the non-cash impairment charge we recorded during the quarter, we drove lower year-over-year operating expenses. Additionally, we’ve been driving savings from initiatives to reduce material, freight and overhead costs. Third, we continue to make strong progress on improving cash flow, optimizing operating cash levels and de-levering the balance sheet through working capital efficiencies, reducing integration and restructuring costs, improving margins, and reducing capital spending. Lastly, we recently celebrated the two-year anniversary of the acquisition of the Enterprise business. We're making meaningful progress on our transition to One Zebra as we complete the remaining steps of our integration plan – leverage the Zebra brand and establish the culture of the new Zebra. We've exited more than 75% of the transition service agreements with Motorola Solutions as we further integrate the Enterprise business and march towards the expected completion in the middle of 2017. As Mike mentioned, we’ve been making good progress and continue to ramp down integration spending. Moving to slide ten, Enterprise Asset Intelligence is giving a digital voice to our customers’ entire operation. Over the last six months, we have discussed Visibility that's Visionary, which enables our customers to see what is happening in their operations more clearly and make better decisions. Last quarter, we discussed how our vertical expertise, combined with our innovative solutions, is creating better opportunities for us to serve our customers across verticals. We have made excellent progress on fostering a culture of innovation that leverages our unique capabilities, which allows customers to increase their visibility throughout their operations. To that end, we recently announced the appointment of Tom Bianculli, the Chief Technology Officer of Zebra. This new role was a strategic move to align with our customers and address the increasing demand for our visibility solutions across the industries we serve. For many years, Tom has helped us successfully bring our innovative solutions to market. He is a proven leader and I'm certain his team will help ensure Zebra continues to drive the EAI category. At Zebra, we are enabling customers to make better real-time decisions to drive growth, enhance productivity, increase safety, and achieve a high level of customer service. We have a rich portfolio of sensing technologies, which puts us in an enviable position to offer our customers the optimal solution for their needs. Data is at the core of EAI value propositions. Tom and his team will help enhance our efforts to capitalize on the company-wide investments we're making in EAI to develop a common Zebra platform, data-driven applications, and advanced data science capabilities. Our Mobility DNA solution is a good example. Workforce mobility has been a megatrend at the epicenter of visibility for many of our customers. Mobility DNA transforms our devices into an enterprise-grade solution that increases productivity, simplifies management and eases integration with customer's IT systems. It is a more advanced enterprise mobility solution that enhances visibility into operations, which leverages an entire software ecosystem, formulated for our customers’ workforce. Sensing data, analyzing it for insights, and then mobilizing it to the right person to drive specific actions is fundamental to EAI and the core of our Sense-Analyze-Act framework. Many of our innovative solutions were borne out of relationships with our strategic customers such as our trailer load analytics solution, which increases load efficiencies in the T&L space. We are looking to replicate these unique offerings across other key verticals we serve. In retail, we partner with both brick-and-mortar retailers and e-commerce players. While we are serving brick-and-mortar retailers for their traditional technology needs, these customers are increasingly looking to Zebra for solutions that will enable them to execute on omni-channel fulfillment. This proposition is attractive for Zebra, not just at the store and warehouse, but in the last mile delivery of goods. To advance retailers’ capabilities, we are working with them to develop solutions to dramatically improve inventory accuracy levels, which is frequently a barrier to a successful omni-channel strategy. Zebra’s mobile solutions, such as the TC8000 handheld and our wearable product family are essential for our retail customers looking to implement complex omni-channel strategies. The Click & Collect process, for example, has additional layers of intricacies for retailers. While our solutions enable automation, human interaction is still critical at many points in the fulfillment chain and we are helping retailers with real-time visibility of inventory, efficient picking, staging and delivery to customers. e-commerce continues to grow at a fast pace and we are a key partner of the largest players. Our understanding of the complexities of slotting and picking items is imperative to provide the right solution to fit our customers’ needs. I'm more excited than ever about Zebra’s positioning in the market and our ability to take share and develop new and innovative solutions for our customers. In conclusion, we remain well-positioned for long-term success. As shown on slide 11, we continue to expect annualized sales growth of 4% to 5% over a cycle and to improve adjusted EBITDA margin to 18% to 20% on an annual basis by the end of 2017. As Mike mentioned, we believe we can return to organic constant currency sales growth in Q4 and gain momentum in 2017. We continue to expect gross margin improvement with the actions we've taken in 2016. Additionally, as we work through our operating plan for 2017, we will continue to ensure that our cost structure is lean and that our R&D investments yield an attractive return. Further, our top priority is to pay down debt and we continue to make good progress towards our target net debt to adjusted EBITDA range of between two and three times. And with that, I’ll hand the call back to Mike Steele.
Michael Smiley : Before we go back to Mike, just a quick point, I mentioned that our full-year EBITDA margins are expected to exceed 17% for 2016. And that is actually up from 16.2% after the restatement from last year. So, it's an 80-basis-point improvement from 2015. Mike?
Mike Steele: Thanks, Mike. And we’ll now open the call to Q&A. We ask that you limit yourself to one question and one follow-up, so that we can get to as many of you as possible. Operator, please instruct our callers how to ask a question.
Operator: [Operator Instructions] Our first question today comes from Richard Eastman from Robert W. Baird. Please go ahead with your question.
Richard Eastman: Yes. Anders, could you please expand a little bit on your commentary around the verticals. You did mention, I think, some strength in retail, but could you just kind of touch on T&L, industrial and retail?
Anders Gustafsson: Yeah. So, we saw, in Q3, particular strength in retail and T&L. Both of those were driven by e-commerce. There’s an underlying secular growth trend. T&L, we also saw great growth from some of our new solutions that we had introduced earlier this year. And both retail and T&L are very strong, I’d say, globally, but particularly North America, Europe and in Asia-Pac. Manufacturing, we've seen as a more flattish or slightly down in North America vertical this quarter, but we have a lot of new initiatives to help drive growth in manufacturing. As an example, we're looking to announce a relationship with Rockwell Automation where we are designing our products into their factory automation ecosystem much more closely, which will help both of us offer better solutions.
Richard Eastman: Okay. And then healthcare probably grew, but small?
Anders Gustafsson: Healthcare grew, but smaller this year. We had strong performance in printing, but we’re going through some product transitions on the EVM side, which held back growth a little bit.
Richard Eastman: And then, just as a follow-up, I’m just a little bit curious, Mike Smiley, you had mentioned, again, this discount on imports into China. Just a couple of things. I presume that that $7 million falls directly to the gross profit margin line. And then also, don’t we produce all of our printers in China?
Michael Smiley: Yes, good questions. So, the $7 million is really a – again, the $7 million is a duty that our partners are paying as they import printers into China. And so, what we’re doing is giving a price concession to offset that 8% charge that they receive. Now, as we mentioned, so when you look at how that falls in the P&L, you’d end up with – for whatever you sold, there would be – we sold $7 million less because of the price discount. And, obviously, that would affect our margin. We expect sort of – as you looked at the China duty, there was a one-year clawback that we had to pay. So, of that $7 million, roughly $5 million or so is related to the prior year. We really expect basically $2 million a quarter ongoing. And, again, the $5 million was a one-time in Q3. I don’t know Anders if you want to add any more color.
Anders Gustafsson: Yeah. We felt it was in our best interest of our customers to make the end users be neutral to this, so we wanted to basically mitigate the impact of the duties that our distribution partners pay. We are now working on ways to minimize the impact of these duties. So, on a going-forward basis, we expect them to be up to $2 million, but, hopefully, we can get them to be a little bit lower than that and we have a number of ways of doing that, including how we structure our own manufacturing in China.
Michael Smiley: So, Rick, to your question, we do manufacture in China, but it’s in a duty-free free trade zone. So, as a result, it’s effectively as if we were manufacturing outside of China from a duty standpoint.
Richard Eastman: I see. Okay. All right, very good. Well, thank you and nice quarter.
Anders Gustafsson: Thank you.
Michael Smiley: Thanks.
Operator: Our next question comes from Matt Cabral from Goldman Sachs. Please go ahead with your questions.
Matthew Cabral: Yeah, thank you. Anders, I think I heard in your prepared remarks that channel momentum for Android is going well. Just curious if you could expand on that comment a little and give us an update for how Android is doing both within the channel as well as for larger deals. And I think in the past, you had given the split of how the Android business breaks down between the two. It would be helpful if you could provide that again.
Anders Gustafsson: Yeah. So, our market share, overall, for mobile computing, has increased a few percentage points this year and our market share for Android specifically is substantially higher and it's been stable at those levels. We see the majority of large deals today in mobile computing to be for Android-based devices – or Android-powered devices. What we have started to see now in the last couple of quarters is a nice improvement in what we think of as the run rate in the channel. So, these are smaller deals where our channel partners are primarily driving the – identifying those opportunities and closing those opportunities. So, the trend that we had talked about sometime back of – that, over time, Android becoming a bigger part of our channel revenue stream is starting to happen.
Matthew Cabral: Got it. And then you guys had talked earlier in the year about some deal push-outs that you were seeing, just wondering how those projects are developing. And maybe more broadly, curious how the environment was for large deals, both in the third quarter and what you see ahead in the fourth quarter.
Anders Gustafsson: I think we had a healthy pipeline of large deals. I wouldn’t say there was a heavy type of environment, but it was certainly much more normal than what we saw in the first half. And as we look into Q4 and the pipeline into 2017, I think we are – the pipeline of opportunities for larger deals continues to be healthy. And maybe, Joe Heel, you want to comment also?
Joachim Heel: Yes. This is Joe Heel speaking. So, we did see some push-outs of deals as you were mentioning in the earlier quarters. In this quarter, that activity of push-outs has moderated a bit. We still see it, consistent with what we talked about earlier in terms of our expectations, but it has moderated. And it's also positive for us that the ones that have pushed out in previous quarters have all closed. So, we do see it as a delay, not a loss or decline.
Matthew Cabral: Thank you.
Operator: Our next question comes from Jeff Kessler from Imperial Capital. Please go ahead with your question.
Jeff Kessler: Thank you. Referring to your chart on page ten, can you tell us how far into the Enterprise Asset Intelligence – the vision that you have is relative to how far you've gone? You’ve got another year to go to or, let’s say, another nine months to complete the integration. How are the two measuring up, so that you’re going to speak with one voice and provide multiple products and multiple services to your end user clients?
Anders Gustafsson: Yes. I would probably separate the integration from the Enterprise Asset Intelligence vision and strategy. From an integration perspective, we are working on integrating our back-office IT systems. That's really primarily what is left of our integration activities. They have very little impact on our Enterprise Asset Intelligence vision. So, when it comes to EAI, I feel we're making very good progress. I think we have developed a compelling vision for it. It certainly resonates very well with our customers. I feel very confident in our EAI strategy overall. And as I say, we are clearly the leader in that space with an unmatched portfolio of products and solutions. We continue to drive a lot of value-adding innovation that is resonating very well with our customers. We are bundling product, software and services into solutions much more now than what we had done before. And our focus is very much on how we can leverage our Sense-Analyze-Act framework to help our customers transform how they operate, transform their workflows, improve their productivity, and drive much greater levels of service. And I’d say, at this stage, I don't think any other competitors can really offer that value proposition.
Joachim Heel: I’d like to add one thing. From an integration perspective, you probably have noticed that we integrated the customer-facing aspects of our business very rapidly. We integrated the sales force in January of the very first year. We integrated our partner program in April of this year. So, from a selling and customer-facing perspective, we have been in front of our customers with the Enterprise Asset Intelligence strategy very visibly. The remaining pieces of the integration are, as Anders said, back-office and our IT systems, which don’t impede us from realizing the strategy in the marketplace.
Jeff Kessler: Related to the integration, how are you coming along? And, I guess, this is perhaps on some of them on the services side being able to take the information that you are gaining from your customers, analyze it, providing them with more feedback on their own needs and their own operations, so that you get this virtuous circle of, if you might call it, value proposition, so you can become – get more profits out of your customers.
Anders Gustafsson: We’ve done a lot of things to help get both more efficient in the execution of our services business as well as getting a more easy way of gaining insight into the data streams that we have. In Q2, we integrated the Asia-Pac services business on to one common systems, so we got off the Motorola system and we have been working there now for, I guess, about six months on a single platform. We've also more recently exited the Motorola platform for Latin America. And middle of next year, we expect to do the same for the rest of the world. So, we are now having the IT infrastructure around IT to enable us to take advantage of all the data that we have. We are looking at the number of other data streams or information in order to help be proactive in our sales activities and identify opportunities for upsell or when somebody's contract is about to expire. And I’ll ask Joe Heel to add some comments also.
Joachim Heel: Yeah. I think this is an excellent example of where we use some of the assets that we have to realize the Enterprise Asset Intelligence strategy early on. We have a platform that we've been building out aggressively since the early days of the integration, which was called our Assets Visibility Platform. And this platform is cloud connected to all of our devices, at least to the extent that our customers turn that on. They do have the option of doing that. And it allows us to gather data in real-time from all of those devices and use it both for the purposes of service; it also allows us to offer to our customers visibility, instant real-time visibility to all of their assets, which, as you can imagine, is quite valuable to them and is at the core of a strategy around offering managed services both on our part as well as on the part of our partners, who are, of course, in the business of supporting the customers’ estates. Our vision is that this platform of asset visibility can be used beyond just the provisioning of service to our own devices. You can imagine many other uses that it could serve in a customer’s data management strategy. So, this is a very central part and a key differentiator that we, in fact, have in Enterprise Asset Intelligence through services.
Anders Gustafsson: Yeah, that’s helpful.
Jeff Kessler: Thank you. And have you just – obviously, you’ve just started on this. Do you have any definitive traction in this yet?
Joachim Heel: Yes, indeed. We do. So, we offer two types of services, which customers are actively buying today. We have many contracts on these today. One is called Asset Visibility Services and the other one is called Operational Visibility Services. And the way you can imagine it is Asset Visibility Services is a relatively light cloud-based dashboard that we can make available almost instantly to a customer if they buy our devices, and that goes for printers and mobile computers, by the way, that they can instantly get visibility on a simple dashboard. Whereas OVS is a more heavy service offering, in which we then can manage certain aspects of a customer's estate. For example, give them visibility to when batteries need to be replaced or print heads on a printer require renewal. That more intensive service-driven offering is called OVS. Both are in the market, being sold today to customers.
Jeff Kessler: Okay, great. Thank you very much. Appreciate it. Thank you for taking my questions.
Anders Gustafsson: Sure.
Operator: Our next question comes from Brian Drab from William Blair. Please go ahead with your question.
Brian Drab: Hi, thanks. First, just going back to the Android question. I might have missed it. But did you say what percent of revenue – in the third quarter, what percent of your mobile computing sales were Android?
Anders Gustafsson: We have not broken that out historically and I think it’s just – we said that it's been a growing part of our portfolio and it is – I guess, directionally, you can say it's getting towards being half of our revenues. 
Brian Drab: Okay, thanks. Am I incorrect in my notes here, on the last call, we said it was about a third of revenue in the second quarter, though.
Anders Gustafsson: I think that's probably correct.
Brian Drab: Okay, thanks. And then I just wanted to see if we could get, from a high level, an update on this upgrade cycle that you’ve discussed extensively in the past. Going through 2020, I think, the feeling was that you have 15 million or so devices globally in the field that need to be upgraded. Is that, at this point, being pushed out a little bit or how are we progressing toward that type of a target?
Anders Gustafsson: I think the overall upgrade cycle that we talked about is progressing pretty much in line with our expectation. We started about a year-and-a-half ago to see more of the larger deals. Today, I think pretty much all our larger deals tend to be Android-based. But we also started to see now this trickle down into the run rate business that our channel is conducting. Will there be a tail that goes beyond 2020? I am sure there will be some customers that will not see the need to upgrade and they are just going to run those devices for as long as they possibly can. No upgrades to them, I think. But I would expect that that will be a very small subset. Most larger organizations, I think, will feel, they want to be on supported software platforms, so they can get both security patches and other upgrades to their environments. And so, broadly, I would say that the Android migration is progressing pretty much in line with how we expected it.
Joachim Heel: Yes. And Joe Heel speaking. I think the Android migration or operating system migration more broadly is a little bit unusual from other technology transitions because it's driven by an end-of-life of an existing predominant technology, right, Windows CE, Windows Mobile in 2020. Therefore, it doesn’t only depend on customer's perception of the new technology, it depends also on their expectation for how long they can continue with the existing technologies. So, as Anders said, it’s led to a massive wave of early adopters that you have seen and there is a second wave of adoption, which is the broader market, the market that has served predominantly to channels that is occurring right now. And we do see that pretty much as we had expected happening, as we speak, and it will continue over the course of these next three years.
Brian Drab: Okay, got it. Thank you. And then, can I just ask, on RFID, for an update there in terms of roughly what kind of revenue that is today, how that is evolving, how the pricing has come down there and made it more economical for more applications?
Anders Gustafsson: Yeah. So, RFID continues to be a small, but healthily growing product set for us, solution set for us. Retail is the primary vertical to adopt RFID today. And the use case is primarily around in-store inventory visibility. So, retailers putting RFID inlays and chips on the merchandise. We are not really in that business much. That’s others to serve. But the price curve has been very aggressively coming down. And today, in volume, you can get a chip like that for between $0.05 and $0.07. We are focused on encoding those RFID chips with the right data as well as reading the data off those chips through either mobile or fixed infrastructure. And that's healthily growing, but it’s still a small part of our business.
Brian Drab: Okay, thank you.
Operator: Again, our next question comes from Keith Housum from Northcoast Research. Please go ahead with your question.
Keith Housum: Good morning, guys. And first off, Mike, good luck to you. I wish you the best of luck in your next endeavors.
Michael Smiley: Thank you.
Keith Housum: Following up on the previous question regarding Android, I’m starting to see the Windows 10 mobile computers hitting the market. What’s the though in terms [indiscernible] evaluate the Android or how you think about Windows sequentially [indiscernible] with the market.
Anders Gustafsson: So, so far, I think Windows 10 has been primarily on the desktop, not so much on the mobile. There’s been some changes, I think, on the architecture that's been harder to – for customers to adopt a Windows 10 platform. But from our perspective, we want to have the right solution for our customers. So, we would also expect to have Windows 10 devices available when that makes sense, when the Windows technologies are ready. So, we see it as likely going to be one predominant, but a second technology or operating system available for enterprise customers and we want to serve both.
Keith Housum: Okay. Go ahead, I’m sorry.
Joachim Heel: Well, I just wanted to mention if you look at our product lineup, you'll see that on the very high end of our mobile computing, on PC75, we now have a Windows 10 or Windows IoT, it’s also called, version now, and the same is expected on the tablet. So, you'll see that, in relevant parts of our portfolio, we will have Windows 10 for those customers who want it.
Keith Housum: Got it. As a follow-up, Anders, you mentioned a promotional environment. Clearly, in one of your competitors, we saw more than that – than yourselves. Can you talk about where you saw the promotional environment and what part of the business and did you see that throughout the quarter or was it stronger at the beginning of the quarter versus end?
Anders Gustafsson: I think it was more steady. I don't think we saw it being particularly strong in any point in the quarter. So, it's more of a – something that's going on in – almost in the background. It’s part of the environment. And we are trying to take a very disciplined approach to how we respond to it, but we also want to be flexible to make sure that we do respond appropriately to win deals, but do it at the appropriate margins for us.
Keith Housum: Was it heavier in the enterprise business versus printing?
Anders Gustafsson: Maybe a little bit.
Keith Housum: Okay. Thank you. Appreciate it.
Operator: And, ladies and gentlemen, at this time, we’ve reached the end of today’s question-and-answer session. I would like to turn the conference call back over to Mr. Steele for any closing remarks.
Mike Steele: Thank you all for joining us today. Have a great day. 